Vincent Ferreira: Hello, everyone and welcome to TSA’s Earnings Conference for the First Quarter of 2024. Thank you for joining us. I am Vincent Ferreira, Head of Investor Relations. Today, we will share our highlights on video and then begin our live Q&A session with our CEO, Alberto Griselli; and our CFO, Andrea Viegas. Before we discuss our results, I remind you that management may make forward-looking statements and this presentation may contain them. Please refer to the disclaimer on the screen, which will also be available in our earnings materials and in our Investor Relations website. With that, we move to our results.
Alberto Griselli: Hello to everyone. I am Alberto Griselli, CEO of TIM Brazil. I am very satisfied that we started 2024 at a solid pace. We are reaping the benefits of a well-designed plan and a sharp execution. We continue to see a healthy mobile market supporting a more-for-more strategy. We are taking advantage of favorable market dynamics to develop our 3Bs approach further and deliver solid results across the board. We have a solid above-inflation expansion in service revenues growing above 7% year-on-year. With costs under control, our EBITDA grew double-digit and the margin expanded by more than 100 basis points. Our proxy for operating free cash flow reached a record high for first quarter, growing approximately 60% year-over-year. These solid financial results are accompanied by consistent improvement in our services, offering innovation and a consistent development of our infrastructure. 5G rollout continues to be the main focus of our network strategy. As I mentioned, our best service, best network and best offer are at the core of our strategy and serve as the foundation for building the best value proposition. Consequently, we continue to work on these three fronts. Still, we have also intensified the activities related to convincing clients and potential clients of the transformations we are implementing at the company. During the first quarter, in the best service category, we consolidated our efforts to improve customers’ experience with several achievements as, for example, Efficiency Award from the Consumer Protection Agency of Sao Paulo. Reminding you all that is now almost 1 year that TIM is the only company in Brazil to have received such important recognition. In best network, we expanded our 5G coverage, increasing the number of cities and more importantly, broadening the coverage inside the cities for a better experience. In March, we were recognized by OpenSignal as the operator with the best reliability experience in Brazil besides consolidating our number one position in network quality. In best offer, we boosted our in-flight connectivity package, adding support for streaming services. We combine all these initiatives and others to deliver the best value proposition in the market to help change customer perception and improve brand recognition. This is a long process, and it is challenging, but it is the only way to achieve our aspiration of becoming Brazil’s preferred mobile operator. Gradually and consistently things are moving in the right direction. In mobile, we saw improvement in postpaid churn with a rate of 0.8% per month in the first quarter, which reflects improved customer satisfaction and loyalty. At the same time, postpaid net additions totaled 415,000 new lines with a solid sequential improvement quarter-by-quarter, while migration for prepaid to postpaid increased by 11%. Total ARPU expanded close to 9% year-over-year, surpassing the BRL30 mark. Maintaining the value strategy with improvements in volume, we were able to possess solid growth in mobile service revenues of 7.4% in the quarter. Our B2B endeavors continue to evolve fast. We are now putting all our efforts under the umbrella of a TIM IoT solution brand. To start on the right foot, we launched the first offer in partnership with CNHI, bundling our connectivity with cases machinery. We also closed a large partnership with BP Bunge. As for fixed broadband, we are performing well despite a very tough environment. Our revenues grew more than 9% year-over-year, while our base increased by more than 10%. We maintain the focus on the right balance between growth and profitability. And this is how we build the next-generation team bid by bid.
Andrea Viegas: Hello, everyone. I’m Andrea Viegas, CFO of TIM. Alberto had pointed solid and consistent results. The implementation of our plan is bearing fruit as the long-term benefits of the consolidation, becomes increasingly clear. In the first quarter, the top line grew 7.3% year-on-year with positive contribution from all revenue lines. With costs under control, our EBITDA grew by almost 11%, with the margin increasing by 140 basis points to reach 47.4%. Regarding leases, EBITDA lease grew even faster by 20% and amounted to BRL2.2 billion. This performance continues to benefit from the decommissioning projects, which has reduced recurring lease payments by BRL100 million since first quarter 2023. The EBITDA after leases margin grew [indiscernible] by 400 basis points due to efficiency in OpEx and leases. Despite the negative impact of our financial expenses, our net income grew by 19%, benefit from the tax yield provided by interest on equity and a consistent performance in G&A. In addition, we recorded a strong increase in operation cash flow of almost 6%. Seasonality have a negative impact on working capital and CapEx, but this is no cause for concern as they are developed in line with our plan, and we will improve as we move forward this year. In this scenario, we maintain a strong balance sheet while navigating the uncertainties of the Brazilian macro and political environment. While [indiscernible], I’m pleased with the figures we are delivering, which makes me confident that we will achieve our guidance by the end of the year.
Alberto Griselli: The first quarter also marks the moment to disclose the evolution of our ESG initiatives and update our plan to all stakeholders. In the updated plan, we are committing to, one, increased black employees in leadership with a target of 25% to be reached by 2025; number two, addressing the digital divide by covering rural areas in a total of 32 million hectares by 2026; and three, expand our solid waste treatment with reuse and recycling to above 95% until 2026. In April this year, Great Place to Work recognized us in diversity and inclusion rankings. We were ranked among the top companies in Brazil on four categories: ethnic ratio, women, LGBT, QI Plus and people over 50. We are the only telco to have such a solid position. In our journey, we have achieved ESG targets, value diversity and promoted inclusion. We set out the year at a robust pace. We post the best third quarter numbers in the history of TIM Brazil, sustaining a solid financial performance as we accelerate our commercial speed. We expect to see additional development in our B2B in the coming months, seizing the opportunity we uncovered. We will continue to push forward to maintain our network leadership and with the help of 5G improve customer experience. AI pilots are confirming the potential to improve caring services, so we will continue to testing the models to start full implementation. As for the offers, we are preparing for the arrival of new partnerships and the evolution of our portfolio to keep pushing the bundling of innovation. We are on a long journey to become the most preferred telco in Brazil. This can only be achieved with an outstanding, highly committed and focused team like ours. Now, let’s move to the live Q&A session.
Operator: Thank you. Before starting the Q&A session, I will pass the floor to Mr. Alberto Griselli for the initial remarks. Please, Mr. Griselli, you may proceed.
Alberto Griselli: Good morning, everyone. I would like to start this call with a few words about the emergency that we are facing at Rio Grande do Sul and also anticipating possible questions that might arise during the call. In the face of such a dramatic event with loss of life and families live disrupted, we organized a crisis group to address 4 main fronts. The first one was to confirm that our employees are 100% unarmed, in safe places and without risk to their head, and this has been achieved already. The second, which is ongoing, is the tireless effort of our technical team in the field to guarantee the recovery of our infrastructure and the minimization of the outage due to the extreme conditions and the power loss. The third one was meant to our own clients and guarantee the possibility to keep on communicating with their families and be updated throughout this period. And therefore, we awarded additional gigabyte to our customer base to be in the position to use their services, and we opened roaming across all operators to increase the availability of the networks in the region. Finally, we are working with the authorities at all levels and supporting the purchase of materials and products for what is required by the people in Rio Grande do Sul. And we have been using our TIM institute, or institute TIM to have this objective. I would like to thank everyone for their effort, and particular, my colleagues from all the other operators who are united with us in the time of crisis. So we can move now to the Q&A session, please.
Operator: Thank you, Mr. Alberto. [Operator Instructions] Our first question comes from Marcelo Santos from JPMorgan. Please, Mr. Santos. Your microphone is open.
Marcelo Santos: Hi, good morning. Thanks for taking my questions. I wanted to ask a first question about growth. I mean, you’re growing a bit above the guidance you gave for the year. Is there upside to the guidance or is there something that you think might wait more on the second half or in the rest of the year? So that’s the first question. And the second, if you could do a deeper dive on the subscriber versus ARPU dynamics. So when we usually look at Anatel numbers, you tend to have a little bit less adds, especially on the postpaid. I’m talking more on the postpaid, a little bit fewer adds on the postpaid, but the ARPU has been coming pretty strong. So just wanted to understand what’s the dynamics? Why the results come like this, if you could enlighten us? That would be great. Thank you.
Alberto Griselli: Yes. So Marcelo, let me take this question. So in terms of guidance, so we got a good quarter all in all. It’s a bit early to comment on potential upside because we’re just in the first quarter, and there are a number of moving pieces ahead of us. I think that we are actually in line to what we pretend to do. So increasing revenues above inflation in the range of 5% to 7%, we are coming out at 7-point-something and increasing EBITDA faster than this and double-digit on free cash flow. So I would say that we need to wait another quarter to have to answer you with more profound elements to your questions. When it comes to the subscribers versus ARPU dynamics, I would say that when you look at our postpaid revenue growth, what we are aiming to is to grow on a balanced way in terms of ARPU growth and customer base growth. So this is, I think, a balanced way, the way we look at this, so increasing both levers to support our postpaid revenue growth. And so when it comes to the customer base revenue growth, if you look at our track over the last quarters, you will see that we have been slightly increase our speed across quarters. So in the first quarter of – in the second quarter of last year, which is the first quarter, clean of Oi consolidation, we were growing on postpaid at roughly 1.3% versus our own customer base. We have been increasing the speed, and we reached 1.8% in first quarter 2024. So I think we are in the right track to slightly increase the component coming from postpaid customer base growth. When you look at the ARPU dynamics, basically, there are a number of things that we are doing in order to increase ARPU. So there is the more-for-more strategy that we are implementing in this quarter, so second quarter 2024. We got the migration, so we migrate customers from one plan to a plan which is a bit more expensive, but with better benefits. And this is the comment, for example, you find in our presentation, which is the 10% increase from prepaid to control, but it’s also happening from postpaid – to postpaid – controlled to postpaid. And the third lever that we use is primarily advanced. So when you sum up all this, you got the drivers of the ARPU increase. And therefore, when you look at our postpaid revenue growth, it’s a balance between customer base growth on postpaid and ARPU growth due to the levers. In the first quarter this year, we don’t have any price adjustment besides the migration and the plug-in sales.
Marcelo Santos: Okay, thank you very much.
Operator: Our next question comes from Marco Nardini from XP. Please, Mr. Nardini, your microphone is open.
Marco Nardini: Hello, Alberto, Andrea. Thank you for taking my questions. So regarding CapEx, we observed higher-than-expected investments in the first quarter, particularly due to 5G. Are there any adjustments anticipated to meet annual CapEx guidance or are you like confidence in maintaining your original forecast? And regarding 5G, can you walk us through any updates on the rollout and how this can contribute to top line and margin growth going forward? And do you believe that FWA could also have a positive impact on that matter, please?
Alberto Griselli: Okay. So Marco, on the CapEx side, so it’s a bit of a seasonal thing here. So we will maintain our guidance, and so that’s the commitment that we have. And the fact that we anticipated the bit 5G deployment this year is we wanted to have a head start in the year with something that – this comes to your second question. So we anticipated a bit of the deployment of 5G because 5G brings to us some benefits that are important to us. And so we wanted to have more quarter in front of us with these benefits already in place. The benefits basically are related to the perception and the delivery of better network experience. So the – when we deployed 5G, the way we deploy is that it’s meant to support the increase of customer quality in the cities where we deploy this. And so we know that 5G is an important lever to achieve this objective. And when you look at the metrics that confirm that the customer quality is improving, you will see that this is happening in real. So if you look at the quality of the network across Brazil and the main capital, we are number one. And when you look at another award that has been another – the recognition that we achieved in this quarter, which is another OpenSignal, we have today the most reliable experience in Brazil. So, there are a number of things that we are doing in order to achieve these metrics that are important for the – our position in terms of network superiority. And what we are doing is working. And so that’s the reason why we anticipated a big 5G. When you come to the – how it’s going to – how this is going to support the top line, I think that the best answer at this point of deployment of 5G in Brazil is that this supports our more-for-more strategy. And so we are providing a better service to our customers, and this is important in terms of retention. And this is important in terms of supporting our growth in postpaid because by changing the perception of our customers in terms of network quality, we are in a better position to attract them. There is another benefit, which is the network efficiency, but this is already, let’s put this way, capture by our guidance. So this is something that has been designed when we developed our current plan. And so in terms of top line, I would say, better quality to our customers. So this translates in churn reduction and a more appealing value proposition in general for Brazilian customers and therefore the postpaid and prepaid growth in our strategy.
Marco Nardini: Thank you, Alberto.
Operator: Our next question comes from Andrea Salis from UBS. Please, Mr. Salis, your microphone is open.
Andrea Salis: Hi, guys. Can you hear me?
Alberto Griselli: Yes, we can hear you.
Andrea Salis: Okay. Thank you. So good morning everyone. Thanks for the presentation and for taking my questions here. I have a couple of questions on the tower renegotiation process. Recently, we saw some news related to IHS towers being reportedly considering exiting Brazil. Do you see this as a potential risk for the renegotiation of tower contracts? And could this impact the I-System operation on your end? Thank you.
Alberto Griselli: Andrea, the tower renegotiation process is – so it’s – let’s say, when you go to the tower, we’ve got the existing portfolio and the new portfolio. So the existing portfolio is the decommissioning that we’ve been discussing over the last quarters. And this decommissioning, basically, it’s sort of completed. And when you look at the results of this quarter, basically, the result of this quarter already capture all the optimizations that have been branding for the last 12 months. So when you look at the portfolio going forward, so you got basically two dimensions, the existing portfolio that is subject to what. This is subject to inflation adjustment that basically happens in the first quarter, so last quarter and this quarter. And then you have the network expansion on debt portfolios. And when we put 5G, we occupy more space and therefore, we need to pay a bit more for the rental of the tower. And then there are the initiatives that we are doing in order to optimize, which is basically negotiations with the tower company. And so that’s the first thing that we’re doing. And then there is the second thing that is related to new towers. And so, the deployment of new towers where basically we are looking for better condition for the new towers that we are deploying. So IHS is a partner of ours in – primarily in the existing portfolio and in some of the challenges together with our players. So nothing has changed in the relationship with them so far. And there will be no impact in terms of challenging the existing portfolio or the new portfolio because we got a number of partners contributing to this effort. So with IHS or without IHS, we do not see any impact in the objective that we want to achieve.
Andrea Salis: That was pretty clear, Alberto. Thank you. And could you comment on the I-System operation? Do you anticipate any impact on that or – I mean, everything that you can comment on that would be helpful for us as well?
Alberto Griselli: Yes, Andrea, for the I-System, we don’t see any operational impact so far. And so it’s – we decided to operate with an ultra-network approach. We have two partners that we are using to reach our commercial objective, I-Systems and VTel. They focus on different geographical areas because their coverage is different. And so, so far we don’t see any impact. If they decide to sell, there will be another guy taking over that. And so we will continue to work with the new guy, if this happens. So I don’t see any change in our strategic positions or – so far in our operation activities due to the possible intention of IHS to – let’s say, to create value with the assets on a global scale, so in Brazil and elsewhere.
Andrea Salis: Got it. Thank you very much, Alberto.
Operator: Our next question comes from Vitor Tomita from Goldman Sachs. Please, Mr. Tomita, your microphone is open.
Vitor Tomita: Hello. Good morning, all and thanks for taking our questions. Two questions from our side. The first one is on prepaid, if you could give us a bit more color on repaid ARPU trends and how you expect those to develop going forward? And a second question a bit related to the previous question is if you could give us an update on the fiber business, specifically on your strategy of expansion using those neutron network I-Systems and VTel in some areas and how that has been faring, how that has been benefiting our overall commercial efforts? Thank you very much.0
Alberto Griselli: Basically, if you look at this quarter, this quarter is a bit seasonal. And so you would see that if you compare our speed of growth versus the previous quarter, we slow down. So the slowdown is basically driven by a few factors. So I would say that the first one is the fact that on a year-on-year basis, we don’t have a favorable comparison because last year, I don’t know if you guys remember, we migrated 1 million control customers to prepaid. And so last year, prepaid was pretty good in the first quarter because of this migration. And then I would say that the second element is related to a quarter that which is generally as a sort of negative seasonality versus the previous quarter, so the last quarter of last year. And then there is some activities that we are doing to migrate prepaid customers to control customers. So if you take all these elements, this explain a bit the speed of our prepaid versus the fourth quarter, for example. When we are going and we are looking this forward, some of these things will remain, like the prepaid to control migration. Some of the other things may dissipate. So the seasonality, the first quarter could be different in the second quarter. So when you look at the ARPU, basically, the ARPU is a combination of customer base and the revenues. And so I would say that what we look at, we look at spending and spending is increasing. And so if spending is increasing and if given the cancellation policy that is going to remain constant, we should see some kind of ARPU growing in the next quarter. But it’s not really the metric that we’re looking at because we’re looking at spending. And so I would say that this is it. And your second question was related to the fiber business. So in the fiber business, if you look at the year-on-year performance is quite positive. If you look at quarter-on-quarter performance, you will see that we slowed down a bit our customer base growth. There is no real change in strategy versus what we discussed in our Investor Day and what we have been doing over the last quarters. The fact is that the market remains tough. And therefore, we could keep being selective on the way we expand our coverage. And at the same time, we are adapting our commercial model in a way that we can, let’s say, be more efficient in a very competitive market. What does it mean? That, for example, we are adapting our commercial machine, relying less on what we call push channel and relying more on what we call pull channel because the quality is better. And so we’ve got a good footprint at this point in time with VTel and I-System. We are consolidating the position, our position in the cities where we operate, fine-tuning the commercial machine and looking at the competitive environment and when we see that the conditions are good, we may expand a bit our footprint going forward, but subject to what I just said.
Vitor Tomita: Very clear. Thank you very much.
Operator: Our next question comes from Luca [indiscernible] from Bank of America. Please Mr. [indiscernible], your microphone is open.
Unidentified Analyst: Hi, good morning everyone. Thank you for taking my questions. I also have two on my side. The first one is more of a follow-up from the previous question. On prepaid, specifically talking about the plans, for some regions I know this will vary from state to state and region to region. But in some regions, you introduced your 30% high per month offer on prepaid. So I just wanted to know how are you seeing the dynamics for prepaid going forward? Is there a space for price hikes on the actual plans being offered or not? And then if that has had any impact on – the price modifications we did in the past had any impact on the upsell strategy? And then second, on margins. For the past few quarters, you have had a very positive dynamic in terms of margins. And then I just wanted to understand how you’re thinking about that going forward? If as long as we have real growth, margin should continue to go up or how are you seeing this in the long-term, how high can margins go or if we see some sort of deceleration in growth if you would be able to maintain margin at current levels? So that will be my questions. Thank you.
Alberto Griselli: So let me take the first one, and then I will pass on the margin one to Andrea. So if you look at prepaid, just recapping what is happening on prepaid. So on prepaid, a lot of stuff happened in the last quarters, and it’s still happening. So you would see that the operators have been changing a bit their offering. And so, there are many changes happening in the – basically that happened or are happening in the last quarter next year and first quarter this year. And to some extent, these effects are interlinked and within our sector and because of seasonality and they are interlinked with the context of – the macro context in general that we see in Brazil. So you’ve got a positively seasonal last four quarters and a positively – less, let’s say, negatively the first quarter this year. And this is normal. But you’ve got different seasonality with a number of things happening on our side. So what happened in terms of price hikes? In the last quarter next year, we price hiked prepaid. In prepaid, you got basically a couple of offers. You’ve got the monthly offer and you got the biweekly offer. And then you’ve got the communication which can be different, which is the BRL30 that you just mentioned. But our main offer is a biweekly offer. And so we moved the price of this biweekly offer from BRL15 to BRL17 last quarter. And in some region, we communicate the biweekly offer, in some region we communicate a monthly offer. And we are looking at results in different regions to understand how this impacts customer perception, take up and recharges and all of this. And at the same time, so we did this in the last quarter of ‘23. Now, Vivo did something similar a few months afterwards us. And so they also changed their offer in a similar way. Whereby Claro is, they operate a monthly offer and where they have two different prices, BRL25 and BRL30 primarily. And I think they are changing their BRL25 to BRL30 in some of the regions. So you’ve got a number of things going on in the prepaid market starting last quarter 2023. And so we see – basically, when you do a price hike, what you see is that you see the spending going up and then you see the number of recharging retracting a bit. But these effects are generally temporary. Now since a lot of things is happening, I guess, I will be able to give you a more complete answer of what is resulting out of all this in the second quarter because there are a lot of movements that makes the reading a bit more difficult. And so the price hikes happened already, are happening in the case of Claro. And we need to see how the market settle down after this to be looking at additional price hikes this year. Look, I wasn’t clear because that was a bit – it’s a lot of movements happening in prepaid.
Andrea Viegas: Look, referring to the margin, yes, we have very strong results this quarter with the EBITDA growing higher than the revenues. This is a consequence of our continuous efficiency process. Looking forward, we are – now in this quarter we are returned to the margins that we have previous of going – previous of the Oi acquisition. As we move forward, we will continue to have some kind of increase. This increase will come higher in the EBITDA after lease where we have more efficiency effect to appear. But we are in continuous working for improving our productive and growing our margin.
Unidentified Analyst: Okay, very clear. Thank you.
Operator: Our next question comes from Carlos Sequeira from BTG Pactual. Please, Mr. Sequeira, your microphone is open.
Carlos Sequeira: Hi, thank you. Hey, Alberto, Andrea, Vincent, good morning. How are you? So we were discussing the bidding here among us here at BTG, what happened to mobile service revenues, the dynamics there really. Because when you look at postpaid revenues, it grew more than 7%, but prepaid was basically flat. And then the total service revenues grew almost 8% ,when maybe would have expected it to grow between what grew the prepaid and what grew the postpaid, but no more. And most likely, some other revenues ended up causing the total revenue to grow more than what would have been the average between the two. So the first question is what was that? And the second one is, can we expect the same level of these other revenues that impacted the first quarter in the next quarters? Or how we model for that? So that’s question number one. Maybe we should go for this one and then I have another one, a simple one, I guess.
Alberto Griselli: So Carlos let me address this, the first one and then we move to the second one. So you’re right. And so when you look especially of our commercial strategy, you will see that we put a number of improvements in it and to support the position in specific segments. In the case that we are just – I’m going to just mention for the time being it is postpaid. And so we already commented in previous quarters that we were upgraded something that we felt that was important for our postpaid customer, which is the roaming services. So this is outgoing roaming services. What does it mean that? That our postpaid offer for roaming has been boosted since, I would say, third quarter, if I remember correctly, last year. And what happened with that is that basically, we generate more roaming revenues that falls into the outgoing revenues that we are looking at. But since these services tends to be, let’s put this way, reciprocal to some extent, we also attract revenues from people roaming to Brazil. And so we got the increase of digital revenues. And this is something that we didn’t have in the past because our roaming package was not that attractive. And we fixed that because we thought it was important for a specific segment. And so we got a positive effect both on outgoing revenues and digital revenues. And this is one of, for example, the numbers that we see in this quarter. Now coming this, are we going to expect this going forward since our offer has been structurally improved? I would say that we will tend to have a similar dynamics in the coming quarters. So of course, there is a certain seasonality because people travel in specific parts of the year. But at the end of the day, the offer is structurally better, and therefore, you would see two things that are moving upwards with some seasonal impact here and there and what – with some relevant – sorry, relative delay because of what we generate and what we receive. Is not seeing 100%, but we should expect the positive trends in the quarters to come.
Carlos Sequeira: Very clear. Thank you. Got it. Yes, so we should expect it to keep coming, right? It’s a structural change Okay. It’s important.
Alberto Griselli: Yes.
Carlos Sequeira: Okay. And the second one – so I’ll make a second and a third one they’re connected [indiscernible] prepaid, you mentioned that you adjusted the price point, you’ve now charged BRL17. We were followed. What about Claro? What is your expectation, would they follow the same?
Alberto Griselli: It will have a sort of different approaches. So Claro, we got it biweekly and so basically, a biweekly offer, which moved from BRL15 to BRL17. And Vivo is a sort of a similar offer in general. There are many, many offers. And so we did our movements on our side. It’s very regional. But I think that what is happening is that also Claro is updating their monthly offer on a regional basis. And so, I saw – looking at the clippings that in some regions they are giving more gigabyte as a more-for-more strategy and moving BRL25 to BRL30. So basically, they got – when you look at them, they’ve got some regions where they got BRL25 and some region where they got BRL30. And what I’m looking at I think it’s ongoing, is they’re moving some of the BRL25 regions into the BRL30 region. And so it’s a different approach because it’s a monthly offer. And this is happening in April. And so you should ask them this question on Claro. But from what I’m looking in terms of competitive dynamics, I’ve seen some changes in the month of April. We did that in the last – in the fourth quarter last year – I think in October, on our side.
Carlos Sequeira: Okay. But we know they’re also increasing the prices, right, in April, even in the monthly plan. Okay. And one final one and that one might be a little maybe too early. I’ll have to keep asking that question in the coming quarters. But on – Brisanet just launched 5G operations in Fortaleza, mainly, which is a big city for TIM brand, you have a big presence there. And my question is, did you notice any change in relevant impact on the competitive dynamics after they launch it there?
Alberto Griselli: Well, not really. But now they launch – when you look at – if you look at their deployment, they’re deploying a lot of their network in the smaller cities. And that so if you look at where they deployed, metros and cities with less than 30K inhabitants. And Fortaleza, it’s not Fortaleza itself, it’s more on the outskirts. So far we didn’t see any material impact on the competitive dynamics. And when you look at the – you need to build out a network do – in order to eventually be – because on Fortaleza, they need to run on roaming or on – roaming on somebody else. Where they got the most of their deployment, if you look at the Anatel data, you would see that the big chunk of it in the smaller cities. And but we don’t see any material impact so far.
Carlos Sequeira: Okay, perfect. Thank you very much. Thank you, guys.
Operator: Our next question comes from Gabriel Vaz de Lima from Morgan Stanley. Please Mr. Vaz Lima. Your microphone is open.
Gabriel Vaz de Lima: Hi, thank you so much. Most of my questions were already answered. Just wanted to get a sense in terms of second quarter, anything relevant we should keep in mind? I know we’re 1 month in, but any seasonal effects, any highlights you would mention for us to keep in mind? Thank you so much.
Alberto Griselli: When you look at the second quarter, I think that the most – one of the activities that we generally run is – that we did also in the second quarter last year is the implementation of more-for-more strategy on control and postpaid. So this is happening. And this is happening at a lower intensity this year versus last year, but I will say that when you look at our commercial operations, this is probably the main event of the second quarter. So the more-for-more strategy for control and postpaid, this is currently ongoing. What is generally happening, it’s, let’s say, an ARPU increase. We provide more gigabyte. So generally, there is some impact on control recharges. And there is some impact on – let’s say, churn impact. So the two things that we are managing now is to implement this in a way that it’s more-for-more, so good for customers. And therefore, if it’s good for customers, not having a material impact on churn or potential churn increase. So I would say that this is the main thing.
Andrea Viegas: Maybe some commercial expenses will increase related to our investment in [indiscernible] and some market advertising that we are made.
Gabriel Vaz de Lima: Crystal clear. Thank you.
Operator: Our next question comes from Felipe Cheng from Santander. Please, Mr. Cheng, you may proceed.
Felipe Cheng: Good morning everyone, Alberto, Andrea, Vincent. Thank you so much for taking my questions. My first question is related to working capital dynamics this quarter. We saw deterioration on both the quarter-over-quarter and year-over-year comparison. So I just wanted to understand a little bit what we should expect in the coming quarters? I understand there is a negative seasonal impact in this first quarter, but if you could provide little bit more details here regarding working capital? And my second question is related to price increases in control and postpaid. If you could remind us the schedule and eventually what magnitude of price increases you expect throughout the year? Thank you so much.
Andrea Viegas: Hi, Felipe. Related to the working capital, we always have a seasonality where the first semester of the year we have a negative impact and the second is a positive. This is occurring mainly to some agreement with our major suppliers that we have. This particular quarter we have another impact, for example. We have higher inventory due to the mix of the handsets, especially with the 5G that’s more expansive, and also have some impact in the accounting receivable. What’s related to the – what Alberto had mentioned about the roaming – international roaming, we have a different behavior in this account receivable and also because we have a higher vendors – higher revenue from handsets and this also have a different dynamic in the accounts receivable. But it’s important to highlight that this dynamic in the first quarter of working capital was expected. We are on track what we are expected and we will improve as we move in forward and – actually moving forward this year. I don’t know if I addressed your question related to the price up.
Alberto Griselli: Well, the price up, sorry.
Andrea Viegas: Expect for the price up.
Alberto Griselli: The price up, Felipe, we do this for postpaid and for control, both on what we call the front book and back book in this quarter. And so it’s basically especially the annual adjustment that we do. We did it last year, second quarter, we are doing this year. It applies to a portion of our customer base. And I can say that this year is going to be, given the inflation dynamics milder versus last year. And that’s what’s happening this quarter.
Felipe Cheng: Perfect. Very clear. Thank you so much.
Operator: [Operator Instructions] Ladies and gentlemen, since there are no further questions, I will turn the floor back to Mr. Alberto Griselli for his final remarks. Please, Mr. Griselli, you may proceed.
Alberto Griselli: Thank you. So thank you to everybody for attending our call today. I think we had a good discussion in terms of – we started this year in good shape with the first quarter in line with our plan. I want to thank the entire team for keeping delivering such good results across the board. And special thanks to the commitment and the work of the people involved in supporting Rio Grande do Sul and the disruption over there and keeping our service up and running as much as possible. So guys, thank you, everybody, and we’re meeting the one-to-one calls following today’s call. Thank you.
Andrea Viegas: Thank you.
Operator: This does conclude the first quarter of 2024 conference call of TIM S.A. For further information and details of the company, please access our website at tim.gov.br/ir. Thank you once again, and you can now disconnect your line. Thank you.